Operator: Good afternoon and welcome to the Clear Energy Q1 Conference Call. All participants will be in a listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note, this event is being recorded. I would now like to turn the conference over to Robert Vreeland, Chief Financial Officer. Please go ahead. 
Robert Vreeland: Thank you, operator. Earlier this afternoon, Clean Energy released financial results for the first quarter ending March 31, 2022. If you did not receive the release, it is available on the Investor Relations section of the company's website at www.cleanenergyfuels.com, where the call is also being webcast. There will be a replay available on the website for 30 days. Before we begin, we'd like to remind you that some of the information contained in the news release and on this conference call contains forward-looking statements that involve risks, uncertainties and assumptions that are difficult to predict. Words of expression reflecting optimism, satisfaction with current prospects as well as words such as believe, intend, expect, plan, should, anticipate and similar variations identify forward-looking statements, but their absence does not mean that the statement is not forward-looking. Such forward-looking statements are not a guarantee of performance, and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in the Risk Factors section of the Clean Energy's Form 10-Q filed today. These forward-looking statements speak only as of the date of this release. The company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this release. The company's non-GAAP EPS and adjusted EBITDA will be reviewed on this call and exclude certain expenses that the company's management does not believe are indicative of the company's core business operating results. Non-GAAP financial measures should be considered in addition to results prepared in accordance with GAAP and should not be considered as a substitute for or superior to GAAP results. The directly comparable GAAP information, reasons why management uses non-GAAP information, a definition of non-GAAP EPS and adjusted EBITDA and a reconciliation between these non-GAAP and GAAP figures is provided in the company's press release, which has been furnished to the SEC on Form 8-K today. With that, I will turn the call over to our President and Chief Executive Officer, Andrew Littlefair.
Andrew Littlefair: Thank you, Bob. Good afternoon, everyone, and thank you for joining us. Our fuel volumes in the first quarter of this year grew from 92 million gallons to almost $96 million or 3.7%. We had some pretty strong headwinds at the beginning of the year due to Omicron variant spike, most notably in our transit sector. The momentum we saw in Q4 of 2021 stalled in January and amounted to about a 2.8 million gallons shortfall in transit alone. We also had some significant winter-related commodity supply curtailments at our NG Advantage subsidiary. On the positive side, however, our trucking volumes grew, led by the additional Amazon trucks that continue to roll out across the country, and we saw a ramp-up in overall fuel volumes at the end of the first quarter and into the current quarter. It seems that we have returned to more normal operation in the transit airport sectors that were impacted by the latest COVID interruption. Revenues increased by 8.2% quarter-over-quarter to $83.5 million from $77 million in Q1 of 2021. Adjusted EBITDA for the quarter was $3.3 million. Keep in mind that this quarter did not include any alternative fuel tax credit revenue, which we assume will arrive in the second half of this year. I want to take a minute to expand on an area that I normally don't address, but I feel like it's important. These results were slightly off from our internal budget. But were it not for Omnicon slowdown and the curtailment of NG Advantage, we would have been very close to our internal budget. We recognize that our internal budget is different from the analyst consensus. The biggest difference is being timing, principally the AFTC and the general volume ramp increasing throughout the year. Our quarters are divergent and not smooth. However, when I look at our annual outlook for 2022 and even given the first quarter results, we are still within the guidance ranges Bob has given. Bob will go over this in more detail during his remarks. The company remains a very strong financial position with over $228 million in cash and investments with very little debt. We continue to fund new stations for Amazon as well as our RNG joint ventures with Total Energies and BP as we invest in the future of our business in clean transportation. The momentum and progress of our renewable natural gas supply business continued to pick up steam during the first quarter. The signing of agreements in 2021 for new RNG supply quickly turned into construction projects around the country in 2022. We are at the 50% completion mark on the first RNG supply project we signed through our joint venture with Total Energies, the Del Rio Dairy in Texas, which is on schedule to flow 1 million gallons a year once completed. We recently signed a partnership with another dairy in Texas, South Park in Hart County, which is expected to produce almost 3 million gallons of RNG when completed. A group of 5 dairies in South Dakota and Iowa that we signed through our joint venture with BP broke ground and are well under construction. When completed, these projects will produce 6.7 million gallons annually. As we announced earlier, we are very proud to have partnered with one of the largest areas in the country, Millincap in Idaho, where construction has begun on the digester that should produce 5 million gallons of RNG a year. And it's not just dairy cows that are getting into the act of producing the cleanest transportation fuel on the planet. We signed an agreement with O'Brien Farms, a large swine operation in Kentucky that has the potential of producing at least 0.5 million gallons of RNG a year. So you can see it's been a busy and productive beginning of 2022 on the RNG supply side, and we expect the pace will continue to accelerate through this year and into next year as the demand for RNG intensifies. Our customers are asking for more of it and the lower the carbon school score for the fuel, the better. There really is no easier, quicker and cost-effective way for them to reduce their carbon emissions than by converting their fleets to low-carbon intensity RNG. The demand for RNG continued to increase during the first quarter across all segments, including new customers such as the carrier postal delivery services and national ready-mix, which are both deploying their first fleets of heavy-duty natural gas trucks in California financed through our zero -- now program. We also saw strong demand from existing large customers that are expanding their RNG fleets, highlighted by the contract extensions we signed, including LA Metro, North County Transit in San Diego, CR&R in the city of Santa Monica. But RNG is just -- is not just a California story where there is low carbon fuel standard program. We have nationwide RNG customers like Amazon, UPS and Republic Services. And it is equally important that we continue to focus on adding customers and expand with existing customers with regular CNG fuel, which we can convert to RNG as new supply comes online from ourselves and from third parties. In the first quarter, we signed CNG contracts with refuse companies, transit agencies and heavy-duty trucking firms from Arizona to New York to Canada, where we added a waste management site in British Columbia to fuel 73 trucks. As you know, it is our goal to provide RNG to all of our fleet customers by 2025. One of the many attributes of RNG is that it is a fuel that can be dropped into the existing infrastructure anywhere in the country, allowing us to easily turn the CNG customers into RNG customers. Earlier this week, I participated in a panel discussion at the Milken Institute Conference about the future of energy. And last week, I was in Washington where I had meetings with members of Congress. Much of the discussions were around the turmoil in the energy markets that I've highlighted how the transition in energy is going to take longer and be more difficult and expensive than many thought. We believe this only underscores the requirement of multiple clean transportation technologies and emphasizes the advantage of RNG, which is currently available, scalable and economic. We continue to hear about announcements about new investment going into the development of RNG, which we see as nothing but positive. These new dollars pouring in confirms that the solution of capturing fuse methane and turning into something good is a positive environmental solution. It also means all this new RNG will need to find a market that can maximize its value. That is where Clean Energy's distribution network advantage comes into play. We stand head and shoulders above any other fuel provider with our extensive station network in years of experience in engineering, constructing and maintaining fueling projects. In fact, we now have 66 fueling projects working their way through our 2022 activity board, many of which will be new stations anchored by our large customer, Amazon. RNG is the solution that can reduce carbon emissions much more cost effectively and realistically than other promised alternatives that have been the shiny objects. But the reality is kicking in and is tarnishing some of those a bit. We remain very optimistic about the promise of RNG because every day, tens of thousands of Waste Management, Republic Services, Amazon, UPS, Eli Metro, New York Transit and other heavy-duty vehicles pull up to a dispenser, fill up with this amazing fuel that is doing so much to tackle the problem of climate change. And with that, I will turn the call over to Bob.
Robert Vreeland: Thank you, Andrew, and good afternoon to everyone. I will discuss our 2022 outlook in a moment. As Andrew mentioned, our volume came off recovery trends from the fourth quarter due to the Omicron surge and its lingering effects. Now we've taken what we saw in the first quarter relative to this volume recovery and which we feel is mostly ended. And we've taken that into consideration as we looked at our 2022 outlook, and I'll go into that a little bit later. We delivered 39.7 million gallons or a 7.3% increase in RNG volumes in the first quarter of 2022 compared to a year ago, and the demand for RNG fuel remains strong. Revenue of $83.5 million was up 8.2%, which was helped by a higher effective price per gallon on higher volume from a year ago. The increase in revenue came despite there being $4.5 million of alternative or tote fuel tax credit revenue in 2021. And -- as well, 2022 includes $3.8 million in contra revenue from the Amazon stock warrant incentives. Our effective price per gallon, which excludes the Amazon contra revenue charge, was $0.88 per gallon in the first quarter of 2022 compared to $0.76 per gallon a year ago. That's about a 13% increase. That $0.88 that's come off of Q4 that was $0.84. So we're just seeing that kind of go up really kind of in line with what's going on with commodities. This also, though, I'll say, contributing to that from our comparison to a year ago was a higher RIN pricing. Our margin per gallon for the first quarter of 2022 was $0.25. Our margin per gallon a year ago was $0.26. Our internal target for the first quarter of 2022 was $0.26. So we had anticipated a little pullback in the first quarter of 2022 from the trends that we were seeing at the end of '21, but it pulled back maybe $0.01 more than what we had planned. And while the LCFS pricing was lower than anticipated in the first quarter of 2022, which impacted our LCF revenues and the margin per gallon. The higher RIN pricing offset the lower LCFS pricing. So when combined, the RIN and LCFS revenue for the quarter actually came in on plan. On SG&A, most of the increase over a year ago is from stock compensation, much of which is attributed to performance-based awards and our generally higher stock price. In addition, increases in SG&A have been based on our planned execution of our RNG strategy. Our GAAP loss per share for the first quarter was $0.11 compared to a GAAP loss per share of $0.04 in the first quarter of 2021. Remembering that 2021 included $4.5 million of alternative fuel tax credit, earnings and 2022 was reduced by $3.8 million in Amazon stock warrant charges. As well, stock compensation rose year-over-year by $4.9 million. And we've incurred some start-up expenses related to our RNG supply operations that didn't exist last year. That was about $1.2 million for the first quarter of 2022. And then finally, the -- our interest expense was higher in 2022 by $2.3 million from the write-off of debt issuance costs associated with our refinancing of our NG Advantage subsidiary debt. Our adjusted non-GAAP loss per share was $0.05 in the first quarter of 2022 compared to $0.01 loss per share last year. And the comparability here of our adjusted non-GAAP loss per share was also impacted by the alternative fuel tax credit being in 2021 and 2022 having some additional expenses related to our R&D strategy as well as the incremental interest impacted 2022 as well. The adjusted EBITDA was $3.3 million for 2022 versus in 2021, $11.6 million. Again, 2021 being impacted by the alternative fuel tax credit as -- and then 2022, having as planned expenses around our RMG activities. Okay. In terms of updating 2022, we'll move on to that. We took we took into consideration some of the headwinds that we saw in the first quarter and did our normal sensitivity analysis on our assumptions looking forward. And while we still believe that the prior guidance is possible to achieve, the events of the first quarter could possibly push out our anticipated ramp-up could just push it out from a timing standpoint. So as a result, we've updated our guidance. Our GAAP loss is estimated to range from $57 million to $65 million. Now much of that change there is related to updating stock compensation that's based on performance milestones. And then at the adjusted EBITDA level, we've made that more of a range of $60 million to $65 million, and this change reflects a scenario of possibly lower volumes and the added spend that we've seen around our RNG supply operations. On the RIN and LCFS front for our look at '22, we've considered the dynamics that we saw in the first quarter. And even if we consider and we are considering even a lower LCFS price going forward, lower than our prior view. But we also recognize that the rent has remained strong. So when we kind of put those 2 together, the dynamics around those credits did not really give rise to a meaningful adjustment to the guidance. And lastly, I'll emphasize, we spoke about this on the last call, I would say. I'll emphasize that our view forward is still weighted heavily toward the third and fourth quarter. Now one of the big assumptions still is our assumption that the alternative fuel tax credit will get past this year. And so there's -- there are some risk there. But our assumption is that we would see it in the third quarter. And if that happens, then without anything else, we've got in our modeling, at least $15 million in the third quarter. And now that would be on top of other normal operating results. And then the fourth quarter would see maybe about $5 million of that AFTC. And -- and really, I think what's also just was embedded in our planning is a ramp-up in volume that contributes, as Andrew mentioned, does contribute to some uneven quarters and more of a building of results each quarter. And I think we saw that really kind of come out to play here in the first quarter with us being within striking distance of our internal plan, but we feel that we -- there was certainly a miss on the consensus. So hopefully, we'll do better at that. And with that, operator, we'll open the call to questions. 
Operator: We will now begin the question-and-answer session.  And our first question comes from Eric Stein.
Eric Stine: Bob, so maybe I'll just start with a high-level question with what's going on in energy markets, oil prices, the price of diesel haven't seen this for many years and now the economic argument added to the sustainability piece, which has been the case for a number of years. Just curious if you can discuss kind of what you're seeing from fleets as a result type of urgency you're seeing. I know you're having to deal with it on the cost side as well with natural gas, but obviously, that doesn't impact things as much as the price of diesel would.
Andrew Littlefair: Right. Well, Eric, no, it's a good question. And I would say that our customers are really watching this, right? I mean it does impact them. It's among their largest costs. And so I think any of us in the alternative fuel business while we selfishly love at an elevated diesel price, I mean, like, for instance, I'm looking at a sheet that's right in front of me, and most people don't think about it this way. But I mean, diesel prices in the Eastern seaboard this last week went up $0.86 a gallon in Newark and in Boston, $0.79 out of Long Island. And so we're seeing kind of a diesel shock coming through and the price of diesel is in California, 655 a gallon. So I don't know that that's essentially a healthy environment for people making choices about their feeling is there -- now they're talking to their customers about surcharges and having to explain themselves; so I don't know that that's necessarily. Now the good news from our point of view, obviously, we have a big spread -- and yet on the other hand, we've seen our commodity price almost double, right? Now obviously, we're not buying everything on spot price. But I mean we are seeing NAN, so that's an advantage for us. But we -- we were in about a month at a time on our spot. But we did see natural gas prices go from essentially in the $4 range to the $6 range. And so one would say, wow, that's pretty volatile in terms of your commodity. Well, the good news there is, while we are careful about how we price this to our customer and sensitive to it, we're able to move that cost of that commodity through. And while we saw a slight almost $0.01 a little compression there, we're able to put that cost of commodity through to the customer and still offer almost $1 to $1.25 savings in certain of our markets. So our value added going forward, the price of the cleanest fuel on the planet is still at a substantial savings to our customers. And that's not lost on them. And it is an advantage for us to be able to -- many of other technologies, innovations and advanced technology, mobility technologies. I mean, they can't speak to that, right? There isn't a savings. I know that people talk about cheap electricity and listen that, but there isn't . And so most of our competitors can't talk about having a substantial discount to diesel. So I would say it's turbulent, Eric. It does give us an advantage though it creates a little bit of turmoil in the market and in our customers out pricing new trucks and fuels it means there's a lot of balls in the air. But we've gotten through it fine, and we've been able to continue to offer our advantage to our customers in this volatile environment. 
Eric Stine: Got it. That's helpful. Maybe just turning to the -- going back to the RNG that you gave your 5-year targets and you had a number of kind of key pieces to get to those elevated numbers with the one I guess maybe the one we looking to optimize to RNG and shift fleets from O&M to RNG. And I know we've seen it to some extent with giving customers -- but just curious how you're feeling about that? And then maybe how you're feeling about some of those other objectives, I mean, realizing that it's 5 years away.
Andrew Littlefair: Yes. That plan that we unveiled for the market in was January '20 seems like a long time ago now, that's in place. Any changes to that yet. And there's 2 big components on that, Eric. One was the development of our own RNG supply and the other was third party, right? And it broke down with our own, let's call it, dairy projects. that we own and operate with our partners, our joint venture partners and also is bringing in other third parties and a lot of that being landfill gas, right? So it's a bond, you're of landfill and animal manure projects. That is on track. We have 9 projects under construction and have committed capital of $400 million, which is very much in line with what we said on January 26. I think there's actually more now than when we have then. And at that time, we bounce all of these numbers around. But remember, we kind of said we had -- at that point, I think we said we had 7 projects sort of inked and 5 under construction. So we have 9 projects underway now. We have 5 more that are in the definitive phases for another $150 million. So I would say that the projects in those joint ventures are going as planned. and there are many more in the pipeline. Last time I think we talked, I said there was 15 more in the pipeline. That number has increased. So from getting to those numbers over time on our development side, I like where we stand. We have currently are in commercial agreement with another 25 million gallons that will begin flowing for this year in third party. And those third-party agreement, those are multiyear. So we continue to add. I think this quarter, we actually signed one more just here recently for another 3 million gallons. So we continue to add in. We're one of the biggest tankers, right, of third-party fuel from our landfill friends and others. So that continues to go strong. And I'd say at this point, Eric, from what you saw on the 26, other than there's been a little bit of weakening in low carbon fuel standard pricing. On the other hand, there's been a strengthening on the RIN pricing. So as Bob said, that's sort of a net-net and that's all holding up pretty well; that plan is intact.
Robert Vreeland: Yes. And I’ll add on to that, Eric. I mean, with the RNG being -- the demand for being there, yes, we still have -- and we still have a nice bucket of customers that have yet to convert over a lot of our O&M gallons, and that was also in our plan, and that's certainly in the works as well in terms of optimizing -- the optimization of our O&M customers because many of them will take it as soon as they can get it. 
Andrew Littlefair: Not to mention kind of implicit on that. And I'm a little limited what I can say, but as we add on those Amazon trucks, right? Many of those come to California, right? So that's increased California volume. And so that's kind of embedded in those new customers and the new Amazon volume as well. It's all RNG.
Operator: Our next question comes from Rob Brown, Lake Street Capital Markets.
Robert Brown: Just wanted to clarify your comments on the volume sort of the current impact in Q1? I know it's normalizing. But you say there's maybe some still tail here. How is the volume normalizing kind of into Q2? Are you seeing any impact? Or is it sort of pretty much recovered... 
Andrew Littlefair: Yes. I think what we were trying to say, Rob, because we're trying to give some clarity that we didn't just want to throw -- I was very big on this today as we were preparing for this call in the last couple of days is that I wanted to try to give as much clarity and transparency as possible. We really did see -- because look, a lot of our customers haul people at airports and transits. And that  showed up right after Christmas in January that impacted our business. And I tried to identify that it was -- transit alone was about 2.8 million gallons in January, and there's an airport number that's not -- wasn't quite that large. So it's just several million gallons of -- now what I thought I said in our remarks, maybe I didn't stress it enough, is that we have seen -- in coming to this quarter, we have seen that all kind of come back. So knock on wood, we have another flare up here some place. It looks like we're back on kind of normalized volumes at those airports, what we had seen the ding that we took in January. and the transit. 
Robert Brown: Okay, good. And you gave some good updates on the RNG build-out efforts. Have you got more dairies in the pipeline? And what sort of the kind of the project kickoff activity look like for the rest of the year?
Andrew Littlefair: Well, we have 5 more that are signed that -- so I told you just now that we have 9 kind of underway. We have 5 more that are in the kind of in the final stages of the definitive agreements. Those will all get kicked off this year. Then we have a pipeline now that's -- I think it's 18 or a few more than that. I don't know, as I sit here, I might before I come back, if you listen in a few minutes, I'll have -- know how many of those would get started this year. But there will be more, Rob, and I'll see if I can't get the exact number. we're busy on that front. We checked in with our -- one of our partners got an update on this for this call this morning. With the lowering a little bit, let's face it, some developers that have less capital or less place to put this RNG and are a little more concerned about the offtakes and we'll less capitalize the moving down of the curve on the low carbon fuel standard, gives some of our friends in the development side pause. However, we checked in with our compadres at BP and their development team that we're hand in glove with and they haven't lost -- we haven't lost any dairies that we're kind of focused on. haven't lost any enthusiasm for it. We're generally -- I figured the question will come up, we're generally constructive. As we look out, and there's been a lot of people are watching this business now, and they get very focused on just what is carb going to do and what's the plan, the coming forward, and that will happen later this year. We happen to think that the AR be the California Resources Board knows that the low carbon fuel standard is really a bright spot, and it has been working. And we believe that over time, their plan will increase those targets. And RNG will continue to be -- I know there's been a lot of conversation about dairy and this and that, but that we know and Carba  said that it is a very important part of the plan, and we believe that it will continue to be -- and so we're relatively constructive over the middle term about the pricing of low carbon fuel standard. I think we've seen sort of a bulge, if you will, of supply of renewable diesel. And there's an expectation in the market as people are looking at generation of credits that the price of fuel will dampen the demand of fuel use in California and so therefore, generating less credits, right? So that may be a little bit overstated, but I think that's what the market is seeing. So -- but when we kind of peel that back and we look at the likelihood that ARB will increase those targets over time here in their next scoping plan. I feel like we believe that over the next won't maybe happen next month, the latter part of this year and early next year, we feel good about the pricing curve for the low carbon fuel standard. -- looks to me like we'll have 16 projects in construction by the end of 2022. So that would be kind of the 9% plus the 5 plus 2 more. So now that doesn't mean that that's -- we're done. It just means that that's kind of how it will go. Now the pipeline, because I was being a little unclear that I used -- I had said in the last quarter, it was 15 in the pipeline. We have 25 right now. So there's no shortage of interest on the dairy side. Our -- one of our developers was in Kansas. They've been in Wisconsin, they're in Texas or Current County, California. This is nationwide, and we're talking with Dairy, men and women all over the country. In fact, I've had some very interesting conversations. This has bubbled its way up to as we look at a 2023 farm bill, the agriculture committees of the House and the Senate, both want to understand exactly the state of play of RNG because they're wanting to look at legislation that might help energy projects that are capturing methane at dairies. And so they want to -- I think maybe some of their information was a little behind the curve and they want to understand exactly what's going on. And so we've had very fruitful discussions with them on just what's happening on the commercial side of this RNG development in dairies. 
Robert Brown: Okay, great. That was very good. I appreciate it. I'll turn it over.
Operator: Our next question comes from Manav Gupta, Credit Suisse.
Manav Gupta: A quick question here, and I'm sorry I have to understand this a little better. I think the last quarter when the update was we were thinking more of $10 million in EBITDA. And it's coming a little lighter than expectations. Can you help us bridge the gap as to between what was kind of expected on your side on our side, 10 versus -- and I fully understand it's going to be volatile versus 3.2%. What were the major blocks of cost or revenue that created this delta of about $5.5 million or $6 million, if you could help us bridge that gap that would help us model a little better.
Robert Vreeland: Manav, I think it kind of goes back to -- I feel like it goes back a little bit to looking at our adjusted EBITDA without AFTC and we talked about that being kind of $44 million for the year and then doing math starts to get you to at least without the FTC, starts to get you close to $10 million, $11 million a quarter. And at that point, Frankly, I could just -- and part of it is, I mean, we're not -- we don't give the quarterly -- specific quarterly guidance, which would require more disclosures and reconciliations on all that. And so it's a little tricky when our internal plan ends up having a significant ramp to basically without just giving the number. And so I think it's not an operational matter, Manav on that in terms of like what happened within the business or some variable that you missed or anyone missed. I think it ultimately ended up being a little bit of a math exercise and that didn't get there. And I think if you were coming off of, say, Q4, right, even if you took Q4 and say, well, gosh, that was like '18. And if you take off 5 for AFTC or at 13, well, Q4 also had earn-out money in it. So I almost look back at Q1 that was 11.6% and say, well, take out the AFTC, that would have put you more in the 7 million category or less $6 million. So that's really, I think, where we were at on that. Now going forward -- and look, I mean, Q1 is kind of in in the bag. So our target was closer to 6%. And maybe we wouldn't be having the conversation if we came in at 9 and kind of blew our own internal target out. But with the Omicron action kind of stalled things a little bit there. So that's what -- so I think we have a little.
Andrew Littlefair: So it's why we wanted -- I wanted to highlight this is that we all need and all of the analysts looking at this. And look, I wish we were giving you quarterly guidance maybe at some point, we will. We haven't been. So it's -- I totally understand that it's -- I'm not suggesting you necessarily did this, but it's kind of easy to divide by 4 and come -- and maybe add a little bit toward the back end of the year. And -- that wasn't what we expected here. And so I want to -- we wanted to bring this up because we don't want to have a full set of expectations for Q2, either -- and yet we're trying to say that we are still saying that we could be a bit light on the annual guidance, but there's still a range here of 60 to 65. And so what it says is that if the AFTC comes in, no matter when you're going to have that in the back half and you have the ramp that's coming with these Amazon trucks deploying and other trucks, and it's really a third and fourth quarter event. So that probably doesn't help you. But I’m glad you raised this because it wasn’t that, “Oh, my God, what happened to the business 10 wasn’t our number, and I couldn’t where we’d come down. I don’t know a call, we can’t -- we’re not allowed to call up to analysts and tele-med -- you’ve got 11 there, lower that thing. That’s not the way the game works. 
Robert Vreeland: No. And so then you get down to, Manav, than really the -- then you're back to volume for us, volume played some in our own kind of lighter quarter than we would have liked. When we have volume come off or not recover as we anticipated. But while there was some extra spend, I also get -- I'm also encouraged when if some things happen that are outliers, but I know are not kind of are an issue going forward. So we had a little bit of that when I'm referring to the RNG supply. That is not some of those operating expenses that we saw are, I'm going to say, more one-off type costs that we saw that, frankly, we're in budgets, but maybe we're viewed more that they'd be capital. But -- and so I don't see that kind of thing recurring going forward. So we had a little bit of that in Q1. But ultimately, I think we were just at a different starting point. 
Manav Gupta: Perfect. I mean your job is not easy sometimes. Our job is not easy. So I fully appreciate it. My follow-up question here is, I think I'm trying to understand, at the start of the call, it seems that you are a little more bearish on LCFS prices where you were saying, between the higher D3 and the lower LCFS kind of balancing out. But then you kind of just recently made comments where you're basically saying, look, car can come back or most likely will change targets. And I think this debate of RNG getting kicked out of car, that's an unnecessary debate. It's not going to. But I'm just trying to understand, from your perspective, where you are sitting and the LCFS prices which are coming in, do you think this is transitory, maybe they can go a little lower? Or do you think this is more permanent where LCFS prices will probably be in the range of 100 or 120 or whatever, but we will probably never see them back at 150. And again, I know it's a little bit of a tricky long question, but where you have a lot more visibility. I'm just trying to understand, versus the last quarter, is there any reason you guys are a lot more bearish on the LCFS prices at this point than you were probably thinking on.
Andrew Littlefair: No, Manav. It's a very good question. No. We're watching it closely. We have third-party people analyzing it for us. I think you're exactly right. I don't think we should continue -- I don't think we have to continue to debate whether or not somehow dairy farm is going to get kicked out a low carbon fuel standard. We don't believe that, that's going to be the case. We do believe that the targets will increase. So that's a good thing for prices in the longer term. That doesn't happen next weekend. That's going to be in the scoping plan that's a few months out. It does take effect right away, but I think that will be a positive and constructive for increasing prices. The first time I sit here and tell you that I don't think we'll ever go below where it is today, it will go below. So is there a chance that it could dip down maybe I tend to think you're on the lower part of it now. And I think there's more of a chance that you'd have 150 versus 100, okay? So I guess we -- I don't want to say bullish, but we are constructive on pricing over the medium term shorter, medium term on this. So we've structured our deals where they can withstand this kind of thing? And so we feel good about it, and we're moving forward. And look, it was not just us. You can check us off as optimist, right? But I mean, our friends at BP and Total, they have people that look at this really carefully, too, and all of us are continuing to move forward. 
Manav Gupta: I wonder you have been -- I believe when Chevron acquired Regio sent a very clear message that longer-term carbon prices are moving up, not moving down the...
Andrew Littlefair: Exactly. That was the -- I'd just spend a couple of days Bonava at the Milton Conference. And I mean some of it will make your head spin. But I mean there was literally 20 -- there were 180 different sessions, and I bet 20% of them had something to do with climate change and sustainability. From delivering cups of coffee with drones, okay, to hydrogen and nuclear and biogas and carbon capture and RNG. And it's clear that the march toward a more sustainable and lower carbon fuels is this isn't -- there are headwinds with the world energy picture right this moment. But you're looking at very smart group of financiers that were at this conference, and this was something that they continue to talk about for 3 days. And the sheer amount of money that's pouring into this is breathtaking. 
Robert Vreeland: Yes. And Andrew, I also heard Bob about expanding the reach of methane capture. Like I mean just even looking at that kind of the market that’s out there and I think companies are looking at ways to get out there and capture as much of the methane as possible, which I view is a great sign toward added supply and just really… 
Andrew Littlefair: It gives me a great confidence because I hear about some of the -- where would you say the -- where some of these other technologies are and what is going to be required for them to deploy and develop and where we are and where we can deliver and the level of carbon reductions we can do -- I mean, frankly, there aren't any others that are really talking about kind of the reductions in carbon that we are. And we're doing it at a price that's substantially less than others. So we just stick to it, Eric, because we've got a really attractive solution. 
Manav Gupta: Perfectly. A very quick thing is so obviously, you are today the name most pure play RNG name out there, but you’re also doing other stuff for Climate. I mean, you are looking to fuel ships with RNG, CNG and you’re looking to build some hydrogen stations. And besides RNG initiatives, how else -- like how are the other things progressing within CLE as far as you know, looking at fueling ships with lower carbon fuels and hydrogen stations, and I’ll turn it over off that. 
Andrew Littlefair: Well, the -- we're a leader on the ship side. I mean, albeit small, right? But out of here on the West Coast, we are proud of the deal that we've signed with Pasha. They've got their first ship completed, the second ships being developed. That ship is coming through the Panama Canal shortly. So we'll begin to fuel that ship. And that is -- for those that aren't familiar, that's each out and back to Hawaii on that particular ship uses 0.5 million LNG gallons. So it's significant for us. It fits well with our plant, and we'll be feeling that in the Port of Los Angeles. But Manav, just candidly, there's a limit to how much we could supply there and how quickly these ships come on. It's happening around the world, of course. And so we feel good about the fact that I still think, Manav, that certainly at the price of oil, this is where my friends in the Tier 1 railroads, you would think would come back into the play. I still think LNG makes a lot of sense for the railroads. -- and this would be an LNG play. And I was told by the CEO of being SF one time that, hey, it's $60 is where it makes sense for us to begin to convert dual fuel locomotives. Here, we sit at $100. I haven't heard much from them right now, but I still think that's a huge opportunity. We were the leader in that. We helped be in SF to the open track testing, the permitting with the Federal Railway Administration on LNG tanker cars, we're not doing much on that now, but the natural gas industry and even putting cleaner fuels like RNG into that, I mean that's -- you'd receive a credit for that. So it makes sense. I still think that one is a huge market that could come back into play at some point. then the hydrogen Manav, we are doing hydrogen. We're learning on it. We just bid the next -- the second and third hydrogen transit property projects. As you know, we have one under construction. We learn as we go on those. I mean, I still see that as -- look, I'm for it, we like the notion that you can use RNG through a station to even to have RNG electrons for electricity. Someday, we see that as a pathway or RNG for hydrogen. We're stand at the ready to do that. And -- but when I look at the costs associated with those hydrogen fueling stations vision is very, very early stages in my view. There's a lot of wood to chop on that. And when people talk about nationwide network of hydrogen fueling, I mean that's daunting. -- again, that puts me in a place where I like our position from what we have today with the nationwide delivery system of a drop in fuel that's the lowest carbon fuel in the plant... 
Operator: Our next question comes from Pavel Molchanov, Raymond James.
Pavel Molchanov: You touched on the commodity cost dimension of the business. In terms of the construction effort on the RNG facilities, can you talk about steel, labor, all of the other inputs and the extent to which you're seeing some cost inflation and how you're managing that? 
Andrew Littlefair: Yes, Pavel, good question. We have seen it. We think it's stabilized at this point. I guess I would say, over the last quarter, we've seen it, maybe it goes a little bit in a last year. So I'd say it was about a 20% uptick steel fabrications, cement, I mean, concrete. So we saw it. We haven't, in the current bidding that's going on with our contractors right now and our development folks. That seems to have stabilized. In fact, we had a meeting on that just this morning. We haven't been seeing that kind of increase in goodness has -- seems to have abated. I didn't -- not to mean that it's gone down the 20% yet, but it hasn't gone up anymore. So maybe that's a view that we're starting to see that level off.  And I would say, since we were in the early stages, Pavel of this, we were able to capture those costs into our original deal. So let's say that we're not going to be unpleasantly surprised and upside down on those projects. I mean just because we're just getting going on all of those projects. The other thing, though, that's in your question is kind of the supply chain. And we have seen -- I think everybody would -- we have seen some supply chain is particularly some constraints. I'd sort of put it in this 60-, 90-day sort of push out some components, switch gears and we've seen longer, but you really go to work on and we drag some of that back in. But electrical components are -- have got pushed out some as we've seen some stress on the supply chain. I'm a common optimist. I think that's going to get sorted out. And we've seen that even on our; we build a lot of stuff. So, we're building all these stations and a bunch of Amazon on right now. We are seeing a 180-day extension to lead times on switchgear. Well, we started pushing with different suppliers and guess what, that came into 30 days. So 30 days is fine. And so I think that will get sorted out. But we've seen some of it. 
Pavel Molchanov: All right. You talked about the Omicron wave and the impact on Q1 that's totally clear. At this point, we're 2 years, right, since the kind of the first lockdowns in this country. Is it fair to say that aviation airport shuttles is the only portion of your sales mix that is still below pre-Covid volume levels? 
Andrew Littlefair: I think that is safe to say. And I would say that having really been able to look at where we are in May, exactly week-to-week or anything. But I mean, we're back to pre-COVID. And if we're not, maybe we're still up 3% or something, it would be negligible. So I'd say it's back. And as long as you don't Pavel serve up another little macro on me here, it should be building from there.
Robert Vreeland: It’s very close. 
Andrew Littlefair: Pavel, you didn't ask me about the alternative fuel tax credit, and you kind of disappointed me. Can I go ahead and answer that question.
Pavel Molchanov: Can you mention that next time -- on that perspective on that?
Andrew Littlefair: Yes. Let me give you a little bit because I was just up there and I've talked to some of our friends on both sides of the aisle on that thing. So it's kind of interesting. So the reason we worked told all of you that we were going to add into our '22 budget, the alternative fuel tax credit, even though it hadn't been extended just because it was embedded in the build back better. And not only was it in there, it was in there for 5 years, right? So at least on the house side. So that's -- we continue to see bipartisan support. Now where we stand right at this moment is the House and Senate leadership in the majority side haven't really given up, as you know, haven't fully given up on the build back better. And until they do, it hasn't really unleashed the crowd to come up with alternatives. Now, there is a rum group right now led by Senior Mansion and Center Makowski, one other blacken to kind of look at modifications to a skinny down BBB. There's some expectation that the green components, the energy, kind of hard to believe, but the energy components of the BBB are actually generally considered to be ones that enjoy the most support and ours would be in that as well. So keep your eye on, does anything happen with Senator Mansions sort of effort to try to move a skinny down build back better. Now at the same time, we've been told by both from -- on the Senate side and the outside of some of our long-time supporters that it is likely in the third and fourth quarters, maybe even after the election, so we have to wait here a little bit, kind of depending on what happens and what happens with the election. So there's likely to be an omnibus bill and likely to have other tax titles where tax extenders would end up being in place, in which case, that's where the alternative fuel tax credit would be. So we're going to continue to believe that, that is something that enjoys bipartisan support. And while it's not going to happen, probably, I wouldn't guess Pavel, it will happen until maybe even after a summer recess. And then, of course, you have the elections on it. So we may not have until after the election. And you often see that then in a lame duck that's when the stuff will move; so we're going to be a little patient.
Pavel Molchanov: Yes, for sure. Appreciate it.
Andrew Littlefair: But have no reason really to believe. I mean I haven't had one member, by the way, that's -- we're putting that over to the side; that's not going to happen. So I'm feeling good about it so far.
Operator: Our next question comes from Matt Blair .
Unidentified Analyst: Andrew, I was intrigued by your mention of the swine project that you're investing in. And with the understanding that each of these projects are going to be really, really different and unique. Could you talk about the general differences and just overall contrast swine versus dairy RNG opportunities maybe in terms of things like average size, capital costs, CI scores and just overall returns in each space. 
Andrew Littlefair: Okay. Now you're going to test me here. I'm pretty good on the dairy. The swine is fascinating, right? So the swine, you have much different gestation period, litters, kill ratio. I mean these things turn over. I mean, so it's not for the faint of heart. So the farm that we're working on, the pig operation, I mean, they literally produce in the 8 or 9 months and there's kind of a dark period in there is like 280,000 pigs. So the CI score is lower, it lower. I think that has mostly to do on the process that they collect how they've been handling their waste and just kind of the sheer magnitude of it and kind of how it -- what they eat. So it's a little bit a lot more to it, let's put it on the swine. Now, there’s a lot of swine in the country, and there are some very big operators, and so we’re looking at a lot of them. The chickens will come into play at some point, too, but it’s a little different. And I don’t think they enjoy the low carbon fuels. I don’t think they enjoy an inclusion of the low carbon fuel credit, they probably should at some point, but they don’t right now. 
Unidentified Analyst: Great. And then your R&D volumes really came off versus Q4 levels, both in terms of just the absolute number as well as the percentage drop. And in fact, it was even more than the drop in your non-R&D volumes. So I was hoping you could talk about that. When you do get into these periods of slower volumes and demand getting hit, do you have the ability to shift your mix and pull more R&D volumes? Are you constrained on that? Just really hoping to understand how your R&D volumes could come off 12% quarter-over-quarter your non-R&D volumes only come off 6%?
Robert Vreeland: Yes. I think really what you’re -- Matthew, what you’re seeing there is that the dynamic that we’ve been referring to somewhat with the Omicron and the slower recovery and in -- particularly in kind of the transit world, we have some big transit customers that take RNG and sell. 
Andrew Littlefair: AMT, right.
Robert Vreeland: Yes, absolutely. So that was probably the bigger driver of that. And then you have to -- because I mean you do have to have pathways throughout the whole country and that sort of thing. 
Andrew Littlefair: So it was correct me if I'm wrong, Bob, is from LAMTA wasn't their downtick in the quarter of 1.8 million gallons... 
Unidentified Analyst: At least, that's all. Yes, they're huge. They're huge. So yes, that would…
Andrew Littlefair: That's what -- that's part of what Matt said.
Robert Vreeland: That’s it. I mean that’s a big chunk of it, Matthew. I mean, because there’s nothing it has to come through on that demand and then you’ve got to be able to -- I mean, you also have to have other places to put it. So with RNG gets a little tricky there because it’s not -- you don’t automatically spread it all over the place.
Operator: Our next question comes from Craig Shere, Tuohy Brothers.
Craig Shere: A lot of my questions have been covered. I just wanted to ask something about both on the downside protection and upside opportunity for LCFS. One thing I had heard and correct me if I'm wrong, that the renewable diesel is not like R&D and that it has to physically be delivered, not just show a pathway and get into some FERC-regulated pipeline system. And if LCFS gets low enough, some of that renewable diesel, the cost of transport may not be justified and so we could have a little supply come off, creating a bit of a natural floor. Is that true? 
Andrew Littlefair: True. You're right, Craig. It's got to go into the tank molecule. It's liquid. 
Craig Shere: And then, on the upside opportunity, I think we all understand the ins and outs with CARB and maybe going from 20% to 30% standard for emission reduction. But what are you hearing around the country at other major states and locales that could have new standards LCFS systems. Has anything changed since your last call that's worth noting? 
Andrew Littlefair: I guess there's 8 or 10 states that are kind of playing around with us. It's kind of going through, let's say, the study and legislative process. We kind of came close in New York. And I guess since my last call, it almost -- the low carbon fuel standard almost passed New Mexico. Mexico is kind of a colorful place where we had 1 vote legislator sort of get in trouble on the night of the vote. And so that one didn't go through. And in New York, I think they really held it over is what ended up happening. Look, I -- and maybe since we last talked, Craig, I had a conversation. I don't think this would betraying any confidence we had is probably public, we had a conversation with the acting administrator in charge of  and her team at the EPA to look at as the RF kind of begins to get looked at being redone and kind of next year as the kind of the current situation sort of sunsets and how it might be re-upped, should there be a low carbon fuel standard national low-carbon fuel standard. This is complicated. And I think it's clear to say what I learned from that conversation was this something we're looking at, that they sort of get it. They know that it's working in California. I don't think that's anything that's likely to happen overnight. I think that's more likely to be a 2-year type thing even at the EPA. And the reason I mentioned that, Craig, is because I think that while a lot of states will look at this, I think there's -- I think these are not easy, right? -- you're putting a lot of interest here, industrial interests and motoring public and there's a lot of work to be done at the legislative level on these things. And so I guess if there's sort of good news on that, if any of them passes me last no, I have a couple of them have been very close to passage and seem to have support, in fact, overwhelming support, but just didn't fit for whatever reason that the governor in particular, the governor of New York has got other things that she's worried about right now. This didn't make it into her budget. But none of them have been pulled down, right? None of those states have said, "Oh, let's forget it. We're not going to do this. So, I see this probably as a multiyear. California was ahead by a long time, but I think this is a multiyear program process. 
Operator: Our next question comes from Jason Gabelman, Cowen.
Jason Gabelman: I just wanted to clarify a few numbers that you mentioned on the call so far. You mentioned there were 66 fueling projects on the board those new stations because you mentioned '19 last call? And if so, what would be the capital involved with that. And then on the upstream side, on the R&D production side, 16 projects and construction by the end of 2022. How much volume is that? And does that kind of get you in line with what you forecast at the R&D Day. It was, I guess, 8 million gallons and 23 million and then 54 in 2024. 
Andrew Littlefair: Let me see on your second question, let me see if I can come up with that, but I don't have all that handy. But I do have somebody sitting here in the room that's looking at it. But let me just say this because I can kind of help on that. Jason, what I tried to say and maybe too casually is that our development of dairy pros call them dairy projects and third party is on track. -- right? So we haven't had any reason to say, well, we're going to be 3 years late on that -- on the volumes that we talked about bringing forward. So one of my guys down here is working on a number of those projects will come out of that. But I mean, so far, it's kind of moving ahead of where we thought it would be. The $23 million, the $8 million is on track and of the 16 projects, it's 25 million gallons. 
Jason Gabelman: Got it. Okay. 
Andrew Littlefair: Now there was another part of the question, which was... 
Robert Vreeland: Okay. 
Andrew Littlefair: I'm glad you brought that up. So 66. So when we talk about fueling projects, they all are related to fueling. Some of them may be like a doubling of compression at a particular station and I'm using a little license on that. Some of them are Amazon projects, that is a parking lot that has fueling for 200 trucks on it. So they're not all kind of freestanding beautiful little stations with the canopy, okay? So don't be thinking of them with 66 discrete projects. But majority of them are, but there's kind of a little bit pieces of different things in there. But there are significant projects for fueling fleets, all 66 are. Now when you use '19, '19 is roam number 19 was the number that we publicly said related to Amazon. And I haven't updated -- I don't think I've ever used a different number than that. This $66 million would include those 19 and be in addition to and some of it is for our customers, some of it is for our own accounts, some of it for Amazon. And so you can't necessarily say, well, that's 3x of $66 million and that’s $18 million. And I don’t know that we publicly said what the CapEx is associated with that. But we’ve just given our kind of CapEx for the year. 
Robert Vreeland: The year, which a lot of that... 
Andrew Littlefair: And the 66 will grow this year. We won’t get all 66 of those completed either. But I would say it’s safe to say that as I go back, it was only about in 2014, ‘13, ‘14 when we were building the nation highway at the pitot Flying Js where we’re building 80 projects a year. We probably never really had 66 in the pipeline, in the construction pipeline. We just call it the carpet like this. So it’s -- that's good. So there are transit properties in there. There's a bunch of refuse properties in there we're building for our customers, and there's Amazon properties in there. 
Operator: Our next question comes from Todd  with Evercore.
Unidentified Analyst: Just about everything has been answered. I was just curious that in some talk that expansion of LCFS at the federal level in Canada could be a near-term possibility. I'm just wondering how you kind of view the Canadian market and whether that would be an opportunity for clean energy. 
Andrew Littlefair: Well, look, I think so. I mean it's in Western Canada already, BC. I don't know if it's actually -- can you generate credits in BC? Or it's kind of in the -- it's like Washington state, where there .
Unidentified Analyst: That's active -- that's going to the general ?
Andrew Littlefair: Well, I know that's -- I mean, look, I usually think that if you see in one of those is likely to be in the other provinces as well. But I don't know exactly off the top of my head, where they stand in Quebec versus someplace else. I don't know. Is it likely that Canada, we're seeing some uptake of the business in Canada right now in Calgary and development stations and fleets. And so that probably bodes well for the kind of political support needed for this kind of thing. I'm sorry, but I don't know exactly. I can't tell you exactly where it stands in Winnipeg or something, I just don't know. 
Robert Vreeland: I was just curious if that was on the long-term kind of another expansion market for dairy. They have a little more fragmented, I guess, the dairy industry up north. So I just didn't know if that was kind of on your radar, it's something that come across the transom. 
Andrew Littlefair: Canada certainly is our radar. We feel a whole bunch of stuff in Canada and all over Canada. – in the corridor on the East and over in the West. We’ve had meetings with our friends up in West in British Columbia, about RNG. I don’t know if we ever made anything happen there. But – so we work – Canada and we have a long history at one point, we sold out to the Canadians 15, 18, 20 years ago. So we’re familiar with Canada. We have employees in Canada, so we’re close to it. 
Robert Vreeland: Canada also has a good view in general, just on the fundamental of even fossil natural gas. I mean they really see even just that fundamental cleaner difference between that and diesel as -- I mean, if you take it to the RNG, that's very exciting, but they actually view natural gas burning near 0 engines to be much better than the diesel that's going on. And so there -- they seem to be quite bullish. So we've got a lot of activity going on in Canada and feel that's a pretty good market for growth. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Andrew Littlefair for any closing remarks. 
Andrew Littlefair: Right. Well, thank you, operator, and thank you for those good questions, and we appreciate you for joining us today, and we look forward to updating you next quarter. Thanks.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.